Kristina Waugh: Good evening, and welcome to Raymond James Financial’s Fiscal 2025 First Quarter Earnings Call. This call is being recorded and will be available for replay on the company’s Investor Relations website. I’m Kristie Waugh, Senior Vice President of Investor Relations. Thank you for joining us. With me on the call today are Chair and Chief Executive Officer, Paul Reilly; President, Paul Shoukry; and Chief Financial Officer, Butch Oorlog. The presentation being reviewed today is available on Raymond James Investor Relations website. Following the prepared remarks, the operator will open the line for questions. Calling your attention to Slide 2. Please note that certain statements made during this call may constitute forward-looking statements. These statements include, but are not limited to, information concerning future strategic objectives, business prospects, financial results, industry or market conditions, anticipated timing and benefits of our acquisitions and our level of success in integrating acquired businesses, anticipated results of litigation and regulatory developments, and general economic conditions. In addition, words such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts and the future or conditional verbs such as may, will, could, should and would, as well as any other statement that necessarily depends on future events, are intended to identify forward-looking statements. Please note that there can be no assurance that actual results will not differ materially from those expressed in these statements. We urge you to consider the risks described in our most recent Form 10-K and subsequent Forms 8-K, which are available on our website. Now, I’m happy to turn the call over to Chair and CEO, Paul Reilly. Paul?
Paul C. Reilly: Thank you, Kristie. Good evening. Thank you for joining us today. As we begin my 61st and final earnings call as CEO, I want to take a moment to thank you all. These quarterly conversations have always been constructive, and the dialogue has helped informed our investors and shareholders, and I’m sure they have appreciated it over the years. I’m excited for the future. I believe Paul Shoukry and his leadership team will deliver leading results when he takes over next month following our annual meeting. He along with the leadership team bring both deep experience and a commitment to our culture and how it translates to our performance. The Board and I have great confidence in their collective abilities and believe the future is very bright. I’m not riding off to the sunset though. As Executive Chairman, I will be supporting Paul when he needs it just as Tom James supported me when he handed me the reins 15 years ago. The continuity of experience and counsel are important components of any transition. With that, let’s get into the fiscal first quarter. We achieved strong results in the quarter. We generated record net revenues and the second highest net income, showcasing the strength of our diverse and complementary businesses. We ended the period with quarter end record levels of PCG assets and fee-based accounts and a very healthy pipeline. With ample capital and funding, we remain well-positioned to continue to invest in our business, our people and technology to help drive growth across all our businesses. Beginning on Slide 4, the firm reported record net revenues of $3.54 billion for the first fiscal quarter with net income available to common shareholders amounting to $599 million slightly below the previous quarter’s record, resulting in record earnings per diluted share of $2.86. Excluding expenses related to acquisitions, adjusted net income available to common shareholders equaled $614 million or $2.93 per diluted share. We generated strong returns for the quarter with annualized return on common equity of 20.4% and annualized adjusted return on tangible common equity of 24.6%, a great result, particularly given our strong capital base. Moving to Slide 5. Total client assets under administration increased 14% year-over-year to $1.56 trillion. Sequentially, client assets were negatively impacted by foreign exchange rates and by one large departure we previously discussed. Private Client Group assets and fee-based accounts were up to a quarter-end record of $877 billion and financial assets under management were nearly unchanged at $244 billion. Over time, net new assets is primarily driven by our ongoing efforts in retaining and recruiting high-quality financial advisors. Domestic net new assets during the quarter equaled $14 billion representing a 4% annualized growth rate on the beginning of the period domestic PCG assets. As we described on our last earnings call, impacting this quarter’s performance was the departure of primarily one large branch in our independent contractor division. The impact was approximately $5 billion of AUA. Adjusting for those assets, domestic net new asset growth in the quarter would have been approximately 5.4%, a strong result. Over the prior 12 months, we recruited financial advisors with approximately $318 million of trailing 12-month production and $51 billion of client assets at their previous firms to our domestic independent contractor and employee channels. Including assets recruited into our RIA and Custody Services division, which we refer to as RCS, we recruited total client assets over the past 12 months of nearly $61 billion across all of our platforms. RCS finished the quarter with $188 billion of client assets under administration, up 28% year-over-year. Following the strong recruitment results we achieved in fiscal 2024 and in particular the fiscal fourth quarter, our recruiting momentum continues to be strong under Jodi Perry’s leadership. Jodi previously ran our ICD division and took the role to lead our firm-wide PCG recruiting. We remain optimistic about both the near-term and long-term growth given the pipeline of high-quality advisors and large teams. Overall, we remain focused on serving advisors across our multiple affiliation options. Despite our record high advisor satisfaction score, I have watched Paul Shoukry continue to double-down on our service capabilities during the transition period, believing we can continue to do more. Our robust technology capabilities and client first values continue to enable us to retain and attract high-quality advisors making Raymond James a destination of choice for advisors. Total clients domestic cash sweep and enhanced savings program balances at the end of the quarter were $59.7 billion reflecting a 3% increase over September 2024. Of note, suite balances grew 5% in the quarter. Bank loans grew 3% over the preceding quarter to a record $47.2 billion primarily due to higher securities based loans, which grew 4% in the quarter as well as continued residential mortgage growth. Moving to Slide 6. Private Client Group generated pretax income of $462 million on record quarterly net revenue of $2.55 billion. Results were bolstered by higher PCG assets under administration compared to the previous year due to a strong equity market and the addition of net new assets to the firm. Our Capital Markets segment generated quarterly net revenues of $480 million and a pretax income of $74 million. Net revenues grew 42% year-over-year driven primarily by higher M&A revenues. Result this quarter marked the second best for M&A revenues and the third best quarter for investment banking revenues. The Asset Management segment generated record pretax income of $125 million on record net revenues of $294 million. Results were largely attributable to higher financial assets under management compared to the prior year quarter due to market appreciation and net inflows into PCG fee-based accounts. The Bank segment generated net revenues of $425 million and pretax income of $118 million. On a sequential basis, Bank segment net interest income increased 1%, while net interest margin of 2.6% declined two basis points compared to the preceding quarter. And now, I’ll turn the call over to our CFO, Butch Oorlog to review the financial results in detail. Butch?
Butch Oorlog: Thank you, Paul. Turning to Slide 8, consolidated net revenues reached a record $3.54 billion in the first quarter, representing a 17% increase over the prior year and a 2% rise sequentially. Asset management and related administrative fees grew to $1.74 billion representing 24% growth over the prior year and 5% over the preceding quarter. PCG domestic fee-based assets grew to $877 billion up 17% over the prior year and slightly above the preceding quarter. As we look ahead, given two fewer billing days, asset management and related administrative fees are expected to decrease by approximately 2% in our fiscal second quarter. Brokerage revenues of $559 million grew 7% year-over-year, primarily due to higher brokerage revenues in PCG. I’ll discuss account and service fees and net interest income shortly. Investment banking revenues of $325 million increased 80% year-over-year and 3% sequentially. Following a strong result in the preceding quarter, first quarter results continued to benefit from very strong M&A revenues, which grew 92% year-over-year and 10% sequentially. Other revenues declined $21 million sequentially, primarily due to lower affordable housing investments business revenues where we typically see a slowdown in the fiscal first quarter following its seasonal high in the preceding quarter. Moving to Slide 9. Clients’ domestic cash sweep and enhanced savings program balances ended the quarter at $59.7 billion up 3% compared to the preceding quarter and representing 4.3% of domestic PCG client assets. So far in the fiscal second quarter, domestic cash sweep balances have decreased by approximately $1.8 billion primarily due to quarterly fee billings of nearly $1.6 billion. Turning to Slide 10. Combined net interest income and RJBDP fees from third-party banks was $673 million down 1% compared to the preceding quarter. The Bank segment net interest margin was down two basis points to 2.6% for the quarter, while the average yield on RJBDP balances with third-party banks decreased 22 basis points to 3.12%, primarily due to the two 25-basis-point Fed rate cuts that occurred during the quarter as well as the 50 basis point rate cut that occurred late in the preceding quarter. Based on current rates and quarter-end balances, net of second quarter fee billings, we would expect the aggregate of NII and RJBDP third-party fees to be down 2% to 3% in the fiscal second quarter, in large part driven by two fewer billing days. Keep in mind, there are many variables that will impact actual results, including any rate actions during the upcoming quarter and factors impacting our balance sheet, including loan and deposit balances. Turning to consolidated expenses on Slide 11. Compensation expense was $2.27 billion and the total compensation ratio for the quarter was 64.2%. Excluding acquisition related compensation expenses, the adjusted compensation ratio was 64%. As a reminder, the impact of salary increases arising from our annual cycle and effective on January 1, along with the reset of payroll taxes at the beginning of the calendar year, will each be reflected in our fiscal second quarter compensation expense. Non-compensation expenses of $516 million decreased 5% sequentially, largely due to a lower bank loan provision for credit losses and a decrease in professional fees. For the fiscal year, we expect non-compensation expenses excluding the bank loan loss provision for credit losses, unexpected legal and regulatory items, and non-GAAP adjustments presented in our non-GAAP financial measures to be approximately $2.1 billion representing about 10% growth over the same adjusted non-compensation figure for the prior year. Importantly, we will continue to invest to support growth across the business while maintaining discipline over controllable expenses. As such, the majority of this projected increase reflects our continued investment in leading technology supporting our financial advisors, as well as our expectations for overall growth in the business, which drives, for example, higher sub advisory fees, FDIC insurance premiums and recruiting costs. Slide 12 shows the pretax margin trend over the past five quarters. This quarter, we generated a pretax margin of 21.2% and adjusted pretax margin of 21.7%, achieving our target of 20% plus margin. On Slide 13, at quarter-end, our total assets were $82.3 billion a 1% sequential decline. Liquidity and capital each remained very strong. RJF corporate cash at the parent ended the quarter at $2.3 billion well above our $1.2 billion target. With a Tier 1 leverage ratio of 13% and total capital ratio of 25%, we remain well-capitalized. Our capital levels provide significant flexibility to continue being opportunistic and invest in growth. The effective tax rate for the quarter was 19.9%, reflecting a tax benefit recognized for share-based compensation that vested during the period. For fiscal 2025, we still estimate our effective tax rate to be approximately 24% to 25%. Slide 14 provides a summary of our capital actions over the past five quarters. In December, the Board of Directors increased the quarterly cash dividend on common shares 11% to $0.50 per share and authorized common stock repurchases of up to $1.5 billion replacing the previous authorization. During the quarter, the firm repurchased 310,000 shares of common stock for $50 million at an average price of $161 per share. As of January 24, approximately $1.45 billion remained under the Board’s approved common stock repurchase authorization. Going forward, we expect to continue to offset share-based compensation dilution and will be opportunistic with incremental share repurchases. Given our present capital and liquidity levels, we remain committed to maintain capital levels in-line with our stated targets. Lastly, on Slide 15, we provide key credit metrics for our Bank segment. The credit quality of the loan portfolio remains solid. Non-performing assets remain low at 26 basis points of Bank segment assets and criticized loans as a percentage of total loans held for investment ended the quarter at 1.26%. The bank allowance for credit losses as a percentage of total loans held for investment ended the quarter at 95 basis points, down four basis points from the prior quarter. The allowance percentage has trended lower largely due to a loan mix shift toward more securities based loans and residential mortgages, which carry lower allowance levels and now account for 36% and 20% respectively of the total bank loan portfolio balances. The bank loan balance for credit losses on corporate loans as a percentage of corporate loans held for investment was 1.93%, down six basis points from the preceding quarter. We believe our allowance represents an appropriate reserve, but we continue to closely monitor economic factors that may impact our loan portfolios. Now, I’ll turn the call over to Paul Shoukry to discuss our outlook. Paul?
Paul M. Shoukry: Thank you, Butch. We are pleased with our strong results this quarter. And while the first calendar quarter always had some seasonal headwinds with the reset of payroll taxes and fewer billable days, I am optimistic about fiscal 2025 and beyond. In the Private Client Group, next quarter’s results will be negatively impacted by two fewer billable days, which we expect to result in an approximate 2% decline in asset management and related fees. But advisor recruiting activity remains solid, and we’re encouraged by the number of large team joining us and it’s still in the pipeline. In the Capital Markets segment, we are pleased to see a continuation of improved results this quarter as the market environment became more constructive for investment banking results and particularly for M&A, which had a second best quarter in our history. Our results in Capital Markets over the past two quarters reinforce our patient, long-term approach and strategic investments we have made over the past several years, even during a challenging market backdrop. The near record levels in M&A and investment banking this quarter were outstanding, and we remain optimistic for the rest of the fiscal year given our healthy pipeline along with a more conducive market environment and our well-positioned platform and capabilities. In the fixed income business, the market is still challenging, but we’ve begun to see some improvement in the depository sector of our business. With the outlook for short-term rates moderating and the yield curve steepening, depository clients are starting to be more engaged in managing their securities portfolio. In the Asset Management segment, we are confident that strong growth of assets and fee-based accounts in the Private Client Group will drive a long-term growth of financial assets under management. In addition, we expect Raymond James Investment Management to help drive further growth over time. In the Bank segment, we have seen securities based loan demand continue to increase as clients get more comfortable with the current level of rates, further supported by the Fed’s recent rate cuts. With ample client cash balances and capital, we are well-positioned to lend across the loan segment as activity increases within our disciplined risk guidelines. And speaking of our strong capital position, we are well-positioned to continue investing in organic growth and will be front-footed in pursuing acquisitions that meet our criteria of being a good cultural fit and strategic fit. And, while we decelerated the pace of share buybacks this particular quarter, our commitment to repurchase shares remains unchanged if we cannot deploy capital in those aforementioned growth initiatives. Meanwhile, the Board did increase our dividend by 11% to $0.50 per share per quarter and authorized common stock repurchases of up to $1.5 billion. Over the past nine months, I have been spending much of my time traveling across the country meeting with our financial advisors, investment bankers, associates, and clients. I could not be more energized and excited about our future. We have really great people who focus every day on helping their clients achieve their financial objectives. And, our best of both worlds value proposition continues to be more and more differentiated across all of our businesses. We are unique in having the scope and breadth of products and capabilities to serve complex needs of clients, combined with our strong culture that is anchored on putting people first. This makes us a preferred destination for both current and prospective advisors, bankers, and associates, which we believe will drive industry-leading growth over the long-term. The most powerful thing I hear consistently from financial advisors and associates is the best decision they ever made in their career was affiliating with Raymond James, and the biggest regret they have is they did not do it a few years earlier. That is really a testament to our unique values and all the great work our associates do each and every day to help financial professionals serve their clients. For that, on behalf of our entire leadership team, I want to thank our advisors and associates for making Raymond James such a special place. That concludes our prepared remarks. Operator, will you please open the line for questions?
Operator: [Operator Instructions] Your first question comes from the line of Devin Ryan with Citizens JMP. Your line is now open. Please go ahead.
Devin Ryan: Thanks so much. Hi, Paul, Paul, and Butch. And, before I ask a question, just want to say congratulations to Paul Reilly on a great career. And, obviously, I know you’ll still be there, but, it’s really been a pleasure. So, thank you. First question just on capital, and I know you guys hit on this quite a bit in the call, but, 13% Tier 1 leverage ratio, that’s $2.5 billion above 10% ratio. You’re going to generate probably a couple $1 billion more of capital through earnings over the next year. You only need about $400 million for the dividend, so maybe call that $4 billion of excess over the next year. So, just want to think about obviously, you’re growing loans at a pretty good pace. So, can you talk about the level of loan demand, because it would seem that you can support a lot of growth there. And then just beyond that, how you would kind of rank the other priorities or most attractive priorities for capital use? And, do you think you can actually work down that Tier 1 ratio over the next year without acquisitions? Thanks.
Paul M. Shoukry: Thanks, Devin. Yes. Our target is still to get to that 10% ratio, which is still twice the regulatory requirement, to be well-capitalized. And so, your analysis was quite good in that we have excess capital now. Not a bad position to be in, but, we are looking at the same levers that we have always told you that we prioritize, which first and foremost is organic growth, investing in our business and our advisors, clients and associates. The recruiting pipeline is still very strong, across all of our affiliation options. And also recruiting across all of our businesses as well, investment banking and asset management and the bank. And then speaking of the bank, growing the balance sheet. The loan growth, particularly securities based loans, to Private Client Group clients, has really, rebounded and been strong over the last couple of quarters as clients get used to the new level of rates and short-term rates have declined. And so, we are seeing that growth there, which is, the loan category that we feel has the best risk adjusted returns and the most synergy, with our Private Client Group clients. And then outside of organic growth, we have been front-footed and looking for acquisitions. We can’t say much, about that topic other than, there has been a lot of activity there. And, the last thing we want to do, yes, we don’t know whether or not we will close any of them or we’ll get to the finish line. That’s we have tight filters of it has to be a good cultural fit, strategic fit, and at a price that makes sense for our shareholders. But the last thing we want to do is a large amount of buybacks, while we’re doing due diligence on, a few acquisitions and then go, have to turn around and raise capital to fund the acquisitions. And so, buybacks, which is sort of our, behind dividends, sort of the last lever that we prioritize for, capital deployment, it’s something that we can, turn up or turn down depending on what we see with the other uses that I just described. And, you saw the deceleration there in the last quarter. If those other levers, don’t drive the kind of capital consumption that we’re hoping over the next several quarters, then we will, take buybacks back up to the pace that we saw in the preceding quarter.
Devin Ryan: Got it. Really appreciate the thorough response there, Paul. Just as a follow-up, on a segment basis, it’d be great to just think about what a potential recovery will look like for the Capital Markets segment margin, assuming business activity continues to recover to something ‘more normal’. Just trying to think about, obviously, we’re mid-single digits last year. In 2021, 2022, you were north of 20%. So, do you feel like you can get back to above 20%, or just how would you guys frame what a recovery looks like based on the business composition today? Thanks.
Paul M. Shoukry: I would tell you above 20% would, most likely for capital markets require, both sides of the business, broadly speaking, the equities and the fixed income side of the business to be running on most cylinders. And so, a good capital market result, if both businesses are not running. If one of the two, is strong and the other one’s okay, is probably what we saw this quarter at around 15% to 16%. That’s a pretty reasonable result for the capital market segment. We had a stronger result in M&A and investment banking, whereas for fixed income, it was a little bit of a softer quarter. But, over 20% numbers we saw during COVID really was record levels of revenues of pretax for both the equities and fixed income side of the businesses, which is atypical because they’re sort of natural hedges or kind of, they typically don’t run on all cylinders at the same time given the macroeconomic backdrop. So long winded way of saying, 15-ish%, 15% to 20% is something that we would be very happy with over cycles.
Devin Ryan: Okay. Terrific. Really helpful. Thanks, guys. Really appreciate it.
Paul C. Reilly: Thanks, Devin.
Operator: Your next question comes from the line of Kyle Voigt with KBW. Your line is now open. Please go ahead.
Kyle Voigt: Hi, good evening. Maybe a first question on the comp ratio. I wanted to focus on the advisor compensation as a percentage of compensable revenues. Last two quarters have been right around 74%. I think you’ve generally been in the range of 75% to 76% during that zone for the better part of the last seven years or so. I know the mix of advisors on platform has recently been shifting towards employees a bit. Just wondering if that’s having an impact on that advisor comp ratio and whether this lower level near 74% is kind of a better run rate?
Paul C. Reilly: Yes. Hard to look at one or two quarters and call that a new run rate. I think if you look at the entire fiscal year for 2024, it was right around 74.5% or something like that. So, that’s probably what I would point to. It bounces around from quarter-to-quarter. But over a long period of time, there’s the mix dynamic that you’re describing. But there’s also as you grow the production, there is sort of a more fixed base that grows as you recruit advisors that, amortizes over time of the transition assistance. And so, there is some scale advantage there as you grow, the production relative to the transition assistance that you kind of could see some modest benefit in. Now, we’re still recruiting heavily so that transition assistance will still come on and grow as well. But the revenue has been growing with the S&P 500 and the recruiting results, 17% for fee-based assets year-over-year. The transition assistance amortization is not growing that fast.
Kyle Voigt: Right. Thank you. Just to follow-up on net new asset growth, I think you noted 5.4% [ex] (ph) the $5 billion, large branch that off-boarded. Obviously, still a really healthy rate, but wondering what you think would need to happen to kind of accelerate back to that high-single-digit M&A growth rate similar to what you’re generating in 2022 and 2023. Just wondering whether you think that’s simply industry churn related or there’s competition, higher competition, in certain channels for recruiting?
Paul C. Reilly: Yes. I think it’s just going to take, recruiting can be a little lumpy as it is. We came off a record year and had a lot of advisors join at year-end, and the pipeline is very, very healthy. So a lot of that is pushed by just how and when we bring recruits on. And then when you recruit, they come, it takes a while, a good year for a lot of them to build up their asset base. So, we feel really good about the trend. It looks like, if you look up and down the industry, it’s been a little slower, but we expect, I think we should expect, strong M&A still for a while as long as the advisors are moving and joining us. And we’re optimistic with the pipeline.
Kyle Voigt: Thanks, Paul.
Operator: Your next question comes from the line of Bill Katz with TD Cowen. Please go ahead.
Bill Katz: Thank you very much, for taking the questions. And Paul and Paul, again, congrats to both of you guys. Just in terms of the front-footed comment that sort of caught my ear, you’ve said it twice now on this call, is the significant amount of capital as you discussed. Wondering when you can sort of prioritize where you’re most interested in growing the platform. Maybe if you could talk either at the segment level or geographically. I’d be curious to sort of where you think you need to sort of further scale? Thank you.
Paul M. Shoukry: Yes. I would say, again, our priorities have been pretty consistent. The Private Client Group business is our biggest business. And so, that is sort of our top priority both in terms of organic deployment and also our pursuits on acquisitions. But, that’s also a very difficult from an acquisition perspective space to find a good strategic fit, cultural fit, and also a value that makes sense for shareholders, especially with private equity firms being so aggressive in the space right now. So, but that’s our top priority. And then the capital markets continuing to look at M&A firms to strengthen our platform form various verticals. Those have been more kind of team hires and lift niche, acquisitions and lift outs. And so, those have been very accretive for us over the past several of years, and also looking at asset managers. But, again, on the asset management front, most of the deals that we look at, that are shown to us are not necessarily showing us good organic growth profiles. And, that’s something that we would be looking for on the asset management front. So, really looking across all of our businesses, we have a lot of headroom to continue growing and expanding our market share and expanding the solutions that we provide to clients, in each one of our businesses. And so, those are sort of aligned with the priorities that we have from an acquisition perspective.
Paul C. Reilly: And just to add on to Paul, I mean, absolutely agree. You asked about geography too. First, we’ll take a good advisor anywhere. So, we’re looking trying to get the best advisors on the platform. But you look at market share, we’ve grown in the northeast, but certainly have a lot of room for gaining market share behind a lot of our other markets. And the West Coast is really still wide open. We were growing at a fast percentage pace, but it’s our smallest market share. And so, we believe we have a lot of opportunity to continue to grow in that business organically through recruiting.
Paul M. Shoukry: And also in Canada, and the U.K. as well. So, those are markets that, in Canada, we have a lot of headroom to continue growing there as well. So, those are markets that we’re interested in.
Bill Katz: Okay. Terrific. And as a follow-up, you mentioned the non-comp, non-provision being about $2.1 billion. So, maybe a two part question. How much flex is that if the revenue backdrop were to, potentially, decay a little bit just from a macro perspective? And then how should we be thinking about a more sustainable operating margin, just given the further scaling of the business? Thank you.
Paul M. Shoukry: Yes. We, there is some flex, not necessarily flex we want to experience because a lot of that, those expenses grow right in-line with revenues. So, investment sub advisory group fees grow with fee-based assets. And, the branch expense grows as we expand branches and open up new branches. And so FDIC insurance expenses grow as we grow the banks. And so, we want those expenses to grow because that means revenues are growing. So, answer to your question is there is flex, but not necessarily flex that we want to experience. Outside of that, in terms of discretionary flex, there always is discretionary flex short-term. But, we’re really committed to investing in the long-term. We don’t try to manage the expense growth from quarter-to-quarter. We’re looking at our needs over the next three, five years and beyond. And so, we want to stay committed to those investment objectives independent of what the short-term macroeconomic backdrop looks like or what the short-term revenue profile looks like.
Bill Katz: Okay. Thank you very much.
Paul M. Shoukry: Thanks, Bill.
Operator: Your next question comes from the line of Dan Fannon with Jefferies. Please go ahead.
Dan Fannon: Thanks. Just wanted to follow-up on that last question. Sounds like, that’s a normal course in terms of some of the investments and growth in the business. As we think about non-comp on a multi-year basis, is 10% a reasonable run rate? Or do you view this level as a bit elevated given some of your priorities around spending and investing in the business?
Paul M. Shoukry: Now, again, investment sub advisory fees grow with the fee-based assets. That was up 33% year-over-year. So, we would love to see that continue to grow 33% year-over-year because that means our fee-based assets are growing that much. And so, I would say you have to look at each piece of it, but overall, with the revenue growth that we’ve been experiencing and the correlated expenses 10% has certainly been reasonable over the last couple of years. But that will naturally decelerate if the associated revenue drivers decelerate.
Dan Fannon: Understood. And then just, following up on organic growth, sounds like the backlog and recruiting still quite strong. Wondering if you could characterize that today versus, prior periods last quarter or the start of last year. And then you’ve also had some headwinds on some of the attrition that you had noted. As you look forward here in 2025, do you anticipate are there other kind of known platforms or things that might be leaving or some that you had already noted that aren’t fully gone just to quantify that?
Paul C. Reilly: Yes. The large one is essentially, almost totally gone. This was the big quarter. That one has even received publicity. So that’s behind us. We think that there’s always some attrition. We know we’ve historically had that 1% type of credit attrition, but we don’t see anything big on the leaving side. The biggest movement of people that have gone to RAA, fortunately have gone to RIA, so we kept the assets. And then pipeline, I think, will you might have seen a little bit this quarter, but normally, when we have a really strong year and just like investment banking, when you close in the fourth quarter or fiscal quarter, we had a very big join in that fourth quarter. Usually, the first quarters a little slower because you burned off the backlog and you’re just going through it and people hop in. So, the timing is always a little off. But if you look the pipeline’s very strong. Team’s up to $20 billion in assets. Again, the teams keep seeing get bigger and bigger. And so, we’re very, very confident in it. But it will be lumpy quarter-to-quarter. It’s not always, it’s not a straight line business, but we feel really good about the pipeline. It’s as strong as it’s been.
Dan Fannon: Great. Thank you.
Operator: Your next question comes from the line of Brennan Hawken with UBS. Please go ahead.
Brennan Hawken: Hi. Good afternoon. Thanks for taking my calls or my questions. So, curious on the average yield on RJBDP, third party bank, down about 22 basis points this quarter. I wanted to confirm, number one, the revenue side of that is really primarily moves with the policy rate, and so therefore, the offset partial offset would be the deposit beta that you have tied to those balances. Should we continue to think that that deposit beta offset will remain roughly at the level you’ve experienced so far? And maybe if you do let us know what the beta’s been on ESP and the Fed cuts.
Paul C. Reilly: Yes. I mean, I think that’s a reasonable assumption going forward, and we’ll, of course, next quarter have the full impact of the rate, the two rate cuts, in this quarter. And so, I think the deposit beta has been averaging around 35% on the sweep balances, but much higher than that on the highest yielding products like ESP, closer to 100%. And that’s what we anticipated was sort of that the deposit beta would look similar for the various products on the way, down as it did as on the way up for rates.
Brennan Hawken: Got it. Thanks. Thanks for that Paul. And then, understanding that SBL growth has been pretty strong, but given the increasing optimism in the environment and business, it seems confidence is improving. How should we think about C&I loan growth going forward? And how are you thinking about that as you think about moving into the fiscal -- through fiscal year ‘25?
Paul C. Reilly: Yes. I mean, we’re, we’re still active in the space, certainly, and especially for client relationships. But it’s been challenging. New origination flow in the spaces that we cover have been still relatively muted. We expect that to hopefully pick up in 2025, just given the macro backdrop. And then the flow we have seen have been really extremely tight spreads. And so, we’re not going to force growth by pursuing spreads that don’t meet our thresholds in terms of risk adjusted returns. And so hopefully, when volume gets to more normal levels, we’ll see spreads recover to more normal levels. But time will tell over the course of the year. In the meantime, we would hope for a continued growth in the securities based loan portfolio, as clients continue to establish new lines and tap into their existing lines.
Brennan Hawken: Great. That that makes a lot of sense. Thanks. And congrats to three of you on your new roles.
Paul C. Reilly: Thanks, Brennan.
Operator: Your next question comes from the line of Alex Blostein with Goldman Sachs. Please go ahead.
Alex Blostein: Hi. Good evening, everybody. Thank you for taking the question as well. I’d like to go back to the capital management discussion. It feels like it’s been very consistent, I guess over the quarters years, but here we are and capital continues to build. I know your target intent and I know it’s over time, but can you give us a sense of realistically when you expect to get there not to pin you down to any particular quarter, but as a framework. Right? And it sounds like you’re closer to deals, and that’s held you back. But then you also named a lot of things that are interesting on the deal front, again similar to what you’ve said in the past. So, what is more likely, at least in terms of the type of businesses that you’re looking to add inorganically? And if not, when should we expect to that capital ratio to walk down to your target?
Butch Oorlog: Yes. Let me because Paul, I think, answered the question pretty thoroughly, and I understand why you’re asking for clarification. I think we were on a road of buybacks because we felt that was the best use of capital. And when we felt that there may be other uses, we held back on it. And so we’re going to, we’re not going to acquire something to lower the capital ratio. We’re going to do it because if we do something, it’s because of the strategic and long-term shareholder benefit. And we feel like when there’s an opportunity, it’s prudent to have the capital if we do it. And if we don’t do it we’re just going to have to catch back up quickly. We’re committed to the ratio. I think people were surprised when we actually did the buyback targets. Last time, it showed our commitment and we didn’t slow up for fun. We slowed up for prudently. But it’s kind of hard on the timing. Right? It’s so 13%. We don’t like operating at 13%. We think 10-ish is comfortable and that’s where we prefer to operate. But, again, we don’t want to use capital then have to go chase it, fund something.
Paul C. Reilly: And I know it’s it almost perhaps feels and seems like eternity since we were at 10%, but it was just over two years ago. And in our time horizon, two years, it’s not a short period of time, but it’s not an extremely long period of time, especially when you consider what’s happened over the last two years, with balance sheet growth being harder to come by across the entire industry. And the acquisitions were very, very low velocity in terms of potential acquisitions out there over the last couple of years. And the ones that were done didn’t meet our criteria of being a good cultural fit or strategic fit or at evaluation that made sense for us. So, I know it seemed like a long time. We agree with you. 13% is over our 10% target. But, last time we were here just over two years ago, we did six acquisitions in two years. And so what we’re telling you is that we’re committed to getting back down to 10%. But we’re also asking you to kind of be patient with us in the context of two years. We’ll be prudent and we’ll be disciplined and we’ll and be front footed on deploying that capital.
Alex Blostein: Yes. Fair enough. I mean, at the end of the day high class problems. So, I get that. Second question for you guys around is the advisory revenues within investment banking, I think running at north of $200 million for two quarters in a row now. Sort of approaching kind of peckish levels, but that’s without even the M&A cycle really taking off. So, maybe help us frame, how much the underlying drivers of the business have expanded over the last couple of years. And as you think about the current cycle in the context of the prior peak, how much higher do you think advisory revenues could ultimately get to as the new M&A cycle unfolds?
Paul C. Reilly: Right. So, let’s start with the pipeline looks very strong just like everyone in the industry believes. And, maybe that story with strong pipelines, the green shoots were past that, so people are doing deals. But I wouldn’t analyze the last two quarters. We’ve been last quarter the first quarter, we were stronger than most, we had an early recovery. Last quarter, we had two large fees, one over $40 million. So, it’s hard to say M&As lumpy. And I think it’s going to be smooth, I think would be not a good assumption that run rate that will be challenging next quarter, although the pipeline looks very good. So, we got out of the gates quickly, maybe a little more quicker than our run rate would be. So, I’d be cautious that taking that number and just extending it. Although, we think we’re in the middle of a good recovery, but not at the run rate at the peak.
Alex Blostein: Got it. Alright. Thank you both very much and congrats to everybody.
Paul C. Reilly: Thank you.
Butch Oorlog: Thanks, Alex.
Operator: Your next question comes from the line of Jim Mitchell with Seaport Global Securities. Please go ahead.
James Mitchell: Hey. Good afternoon. Maybe just on NII, it sounds like based on the guidance for the next quarter that your NIM is seemingly pretty stable. We have loan growth picking up, deposit growth looking like it’s turning and starting to get a little better and you still have asset repricing. So, with only about one or two cuts in the forward curve, is it fair to think the trajectory on NII could start to get a little better beyond next quarter? I mean, just think trying to think through full year ‘25 and what maybe the quarterly trajectory looks like.
Paul C. Reilly: Yes, Jim. That’s absolutely right. That’s our hope as well. But we have two fewer billable days, this upcoming quarter. So, that’s the headwind. But beyond that is, assuming rates stabilize and NIM stabilizes, we grow assets. We think that can be a tailwind for NII. And that’s the goal is for it to be a tailwind to NII going forward.
James Mitchell: Okay. And then maybe as a follow-up on just on the NIM, it seems like you’re kind of you’re currently being dragged down by the securities book yielding around two in a quarter and the mortgage book yielding in the threes. Can you give any sense on the timeframe around when those books could start to get back to kind of current market rates? Is that a multiyear story? Is it a little more quicker than that? How do we think about that?
Butch Oorlog: Yes. Hey, Jim. That’s a great question. In terms of the available for sale book repricing, we see the maturities decreasing or maturing about $1.5 billion over the next 12 months. Not at a pro rata run rate, about $500 million of that repricing maturities will occur in the next quarter. And then other smaller amounts over the remaining three quarters. And that repricing is we’re using to fund the loan growth associated with the bank. So, that repricing for this past quarter and for the upcoming quarters will be deployed in those loans and the SBL loan growth that we talked about and the other elements of loan growth.
Paul C. Reilly: Yes. Turn from a headwind to a tailwind for us as those securities mature and roll over to higher yielding assets.
James Mitchell: Yes. Absolutely. Alright. Great. Thanks, Butch.
Operator: Your next question comes from the line of Michael Cyprys with Morgan Stanley. Please go ahead.
Michael Cyprys: Hi. Good afternoon. Thanks for taking the question. Just wanted to circle back on the non-comp expense $2.1 billion guide for the fiscal year. I was hoping you can elaborate a little bit more on some of the major areas for investment that you’re focused on. I think technology has been one. Maybe you could provide a little bit more color on the types of technology investments, maybe help quantify that a bit more and just more broadly unpack some of the major areas for investment here in the fiscal ‘25?
Paul C. Reilly: Yes. I think technology in particular is something we want to speak to, The Street about in more detail at the next Analyst Investor Day because that is a big area of focus for us as we really help advisors, ultimately save time so they could spend more time with their clients and provide deeper and broader services to their clients in a more efficient way. And so investing in the technology and also the process, the underlying processes that require automation, to be more efficient. And so we’re doing that across the private client group. Also investing in that, technology infrastructure and capital markets business as well and really across all of our businesses. So, more detail than we can provide on our earnings call, but a good question and something that I think we will try to carve out time at our analyst Investor Day to really highlight because it is a real strength, and probably maybe an underappreciated strength at Raymond James, underappreciated by The Street, certainly not by the advisers. When we bring in advisers to home office visits from the largest firms in the country, the oftentimes, more often than not they tell us, wow. We thought we’re going to have to downgrade in terms of technology to join Raymond James because you guys have such a great culture. But I am now realizing after spending a day or two with your technology that it’s actually going to be an upgrade. And so, we need to do a better job highlighting that. And we’re also investing in automation across the platform as well to increase efficiency. So, we’re excited about the technology investments we’re making across the business, over the next several years.
Michael Cyprys: If I could I was just hoping to ask a question on AI, although maybe you’ll tell me you’ll save it for Investor Day, but maybe I’ll just give it a shot here anyway. But just curious if you can maybe just give a little bit of an update on how you’re thinking about the opportunity set, where and how you’re experimenting across the firm today, what sort of learnings have you had along the way, where do you think it could be the most impactful as you think about the business over the next couple years. And just given the DeepSeek’s advancement over the weekend, it seems like maybe there could be some potential for faster deployment. Just curious how you’re thinking about that from an innovation and cost of deploy standpoint.
Paul C. Reilly: Yes. It’s definitely a topic for analyst Investor Day. So, you’re right about that. But it is something that not only are we actively looking at, but we have been actively looking at. And we are in active discussions and making investments to be more formal about that, investment and that monitoring and deployment across our businesses. Because as you point out, we know it’s going I think the management team has a lot of conviction, that it’s going to result in substantial changes probably sooner than we think. But we also have a lot of conviction that we don’t know exactly how those changes will manifest themselves over the next couple of years because it’s still so early in the process. So, really the key for us is to and for everyone in our industry is to really be proactive in monitoring the development and understanding the potential use cases and testing and deploying and piloting the potential use cases. So, that is something we are in the process of setting up a team to do in a more formal way, in a more dedicated way and something that we will certainly be ready to discuss in more detail at the analyst Investor Day.
Michael Cyprys: Super. Look forward to that. Thank you.
Operator: Your final question comes from the line of Steven Chubak with Wolfe Research. Please go ahead.
Steven Chubak: Hi. Congrats, Paul and Paul. And yes, look forward to, obviously, engaging with Paul in the new role, certainly. So just quick question for me on sweep cash trends. They were quite resilient in the quarter for you and industry peers. Your growth did lag, however, some of the public peers. I was hoping you could speak to any actions or changes in promotions, which may have impacted the cash growth. And with NII poised to stabilize at some point this year, what you’re underwriting for sweep cash balance growth in the year ahead?
Paul M. Shoukry: Yes. And I think, you know, we look at quarter-to-quarter trends, but, if you look at year-over-year trends, I think you’ll see different trends there. So, our cash balances and our cash programs, we always put clients first in the offering. And we have a very competitive offering, both in the suite program, the enhanced savings program, some of the special rates we offer for new money and also the purchase money market fund platform. And first and foremost when we make decisions around any of those cash programs, we’re thinking about what’s best for clients. And that served us very well over a long period of time. And the sorting dynamic has certainly gotten into the later innings, especially as rates have started to come down. And when outside of quarter-to-quarter blips that you’re highlighting, which may have some noise in it. If you look over a long period of time, we’ve been very consistent that as you know, Stephen, about being, about providing transparent and sort of consistent guidance around what we thought was going to happen to cash balances. And we have performed just as well, if not better, than the rest of the industry since the start despite, what maybe some others were saying about what would happen.
Steven Chubak: That’s helpful, Paul. And, I just have two cleanup questions here, if I could ask quickly. The first is just on the capital markets comp ratio, whether the 63% is a reasonable run rate, assuming this more constructive backdrop continues. And then what drove the decline in AUM in the quarter given equity markets were slightly higher? You cited the positive flow trends. Just want to understand some of the drivers underpinning that.
Paul C. Reilly: I’ll talk about the AOA trends. I mean, they’re really which is something unusual for us. A lot of the some of the big delta was actually FX, which usually doesn’t hit us. But with the UK and Canada being down 6% in the portfolio, that actually was a big chunk, and then the one firm that left. It’ll be nice not to talk about that anymore after this quarter, but that would have brought us into positive territory. So, there is someone off things in the quarter, which I think is why we look like we lag. And, again, our asset growth has been very strong, and I think we figured this was just a blip before. There’s nothing that we can see or that we’re worried about in terms of the growth of assets. On the comp ratio, I don’t know, Paul or Butch, if you want to take that.
Butch Oorlog: No. The comp ratio, our guidance has been to keep the comp ratio under 65% for the firm. And we have certainly been able to do that even though even as your interest rates have started coming in a little bit. So, it bounces around from quarter-to-quarter, especially in the capital markets segment. It’s certainly hard to compare our last fiscal quarter to the first fiscal quarter of the year because we have year-end reversals and those sorts of things. So, I always encourage folks to kind of look at a longer term trend, when making comparisons.
Steven Chubak: That’s great. Congrats again, Paul and Paul, and thanks for squeezing me in here.
Paul C. Reilly: Thanks so much, Steve.
Paul M. Shoukry: Thanks, Steve.
Operator: That concludes our Q&A session. I will now turn the conference back over to Paul Reilly for closing remarks.
Paul C. Reilly: Well, I thank you all for attending, and I really do appreciate, as I said in the opening, this is very valuable to shareholders of us and the feedback. So, I appreciate a very constructive open dialogue. I hope that you always felt we’re front footed and honest, even though you call us sandbaggers once in a while. But, you know, we try to give you good and accurate information. So, thank you for that. I appreciated it, and I’ll be I may not be on the calls, but I’ll be listening to them at a minimum. So, appreciate it. Thanks for your support. And Paul and Butch, we’ll talk to you next call.
Operator: Ladies and gentlemen that concludes today’s call. Thank you all for joining. You may now disconnect.